Edouard Lassalle: Good afternoon and good evening to all of you and welcome to Criteo’s Financial Results for the Third Quarter and September 30, 2014. Joining us on the call today are JB Rudelle, Criteo’s Co-founder and CEO and Benoit Fouilland, Chief Financial Officer. Please note that this call is being broadcast live on our Investor Relations website at ir.criteo.com. A replay of the call along with the earnings release issued after the close of the U.S. market today will also be available on our Investor Relations website. Before we begin discussing our earnings I would like to remind you that some of our discussions today will contain forward-looking statements. These may include projected financial results, our operating metrics, business strategies, anticipated future product and services, anticipated investment and expansion plans, anticipated market demand or opportunities and other forward-looking statements. As always these statements are subject to risks, uncertainties and assumptions. Actual results and the timing of certain events may differ materially from the results or timing predicted or implied by such forward-looking statements and reported results should not be considered as an indication of future performance. Also I’d like to remind you that during this course of this call we will discuss non-IFRS measures of our performance. Reconciliation to the most directly comparable IFRS financial measures are provided in the tables in the earnings press release published earlier today. Unless otherwise said all comparisons made in the course of this call are against the same period in the prior year. Now with this in mind let me turn the call over to JB Rudelle, Criteo’s Co-Founder and Chief Executive Officer. JB the line is all yours.
JB Rudelle: Thank you Edouard. I am very pleased to present our third quarter results to all of you today. We just closed another record quarter of profitable growth. We exceeded the high-end of our guidance, both on revenue ex-TAC and adjusted EBITDA. In the third quarter our revenue, ex-TAC increased 67% year-over-year at constant currency to €78 million. At the same time we grew adjusted EBITDA by 73% at constant currency to from €20 million. Overall we continue to rapidly expand our position in the performance marketing space. Performance is the cornerstone of our company. We are focused on innovation with a single goal in mind, generating more sales for our clients. This rapid expansion of our results is a direct consequence of our obsession with delivering performance to our clients. One year after IPO is a good opportunity to look back and reflect on our achievements. At the time of our IPO road show we said that we were committed to a long-term vision to build a major new player in performance marketing. After four quarters as a public company, I feel increasingly confident that we are indeed on this path. We have grown very, very fast. At the same time, we have built extremely robust foundations to pave the way out for future growth. This rapid expansion is confirming the unique characteristics of our performance model the model which is quickly disrupting the digital advertising industry. Looking proudly at our achievements over this first quarter, this first year as a public company, our current base has grown very significantly from 4,000 per IPO to over 6,500 today. At the same time, we have very significantly improved our technology and grown our product portfolio. Among our many developments, we successfully launched our mobile and multi-screen solution and significantly enhance our Criteo engine. We are also excited to see a new e-mail marketing product on track to disrupt another large established industry. More than 75% of our business continues to be generated from uncapped budgets. This means that each time we add a new product or new source of inventory, more revenue automatically flows to our platform. Thanks to ongoing technology improvements, we can now generate significantly more sales product lines than a year ago. Despite the strong rise in our client base, our revenue ex-TAC per client has steadily increased year-over-year in each of the past four quarters. This increase combined with the growth of our client base allowed us to offer this rare pattern of very high profitable growth. This combination of the fast expanding product portfolio with better performance has proved very attractive to our clients. In particular, we believe this has increased the performance gap with our competition. Indeed, despite very significant expansion in our client base and frequent head to head tests against competitors, our client retention has remained over 90%. This means that we are becoming more and more strategic to our clients. Moving now to our Q3 results. Our solid performance is explained by three core drivers. First, the continued roll-out of our technology and products, in particular the latest version of our engine and our multi-screen solution, second, a steady growth in our client base across all geos, and third, our continuing momentum in broadening our inventory sources. Regarding our first driver. As we mentioned last quarter, the roll-out of a major breakthrough in the Criteo engine had been a great success. The latest version of the Criteo engines optimize not only for clicks but also for conversions and has therefore enabled our clients to significantly increase positive sales while also improving the ROI. Our enhanced engine is now in line with over 78% of our clients. Turning now to mobile, we continue to be very excited with a strong momentum of our multi-screen solution. As we know, we live in a world where consumers’ attention span is very quickly fragmenting across multiple devices. Our multi-screen solution allows our clients to engage seamlessly with our customers across desktop, laptop, tablets and smartphones including Android, BlackBerry and IOS. We believe our ability to match and engage uses at scale on large, medium and small screens seamlessly is unique in our industry. In Q3, 74% of our clients were using our multi-screen solution. Furthermore, last week we announced the latest addition to our multi-screen solution across device matching technologies. Leveraging a large set of data points that we’ve built over time, we are now able to match consumer historical behaviors on different devices. As a result, we can now show in return, consistent personalized marketing messages as consumers switch from one screen to another. Thanks to the expansion of our product set, our business from existing clients increasingly contributes to our growth. 41% of our year-over-year growth in this growth came from increased spending by existing clients. To put this in perspective, a year ago, existing clients were contributing only 15% of our growth. In other way to look at this is to look at the cohort of our clients that were already live in Q3 last year. In Q3 this year, this cohort generated 31% more revenues ex-TAC. This increase in spending from existing clients was generated in all regions. In the Americas in particular, this increase was close to 50%. As mentioned before, another key element of this very solid growth is our ability to move a very large portion of our clients to uncapped budgets. Adding new clients was our second growth driver this quarter. In Q3, we added 415 new clients. We have ended the quarter with a record of 6,581 clients. We continue to grow our base of large clients in all deals. In addition, we are very pleased with the strong momentum in mid-market. Our growth in the segment was close to 100% year-over-year this quarter. And we continue to see lots of potential there in the future. Our third driver this quarter is our continued success in growing our publisher base. We made remarkable progress in this area. We signed new RTB deals in various regions including a number of mobile only partnerships. On Facebook, we saw a very positive impact from enhanced native formats on the news feed and the right hand rail. During the quarter, we also negotiated improved terms in our direct deals with some large premium publishers. Overall, we grew at direct relationships to over 8,000 publishers at the end of the quarter. Latest ComScore data also revealed that Criteo personalized ads reached almost 1 billion users worldwide in September 2014. To put this in perspective, we’re among the only three companies in the world to have this massive reach. Let me now present our performance by region. We are happy with our execution across all geos which resulted in growth ranging from 51% to almost 100% at constant currency in each region this quarter, compared to Q3 last year. Starting with the Americas, for the third consecutive quarter, our year-over-year growth in revenue ex-TAC continue to accelerate in the region, from 62% in Q4 last year, 66% in Q1, 78% in Q2, in Q3 this quarter, our growth accelerated to 97% at constant currency. We’re gaining lot of traction in the U.S. the most competitive market in the world, where it’s much more difficult than anyone else to rise above the noise. And we believe it’s not by chance that this three quarter acceleration going aside with our life as a public company. We benefit from the awareness of our public company status combined with best-in-class performance and disciplined execution. These elements result in a positive feedback loop that has been feeding accelerating growth in the U.S. Our traction around new product adoption is strong, particularly with the latest version of the engine. We also continue to see a significant ramp in mid-market clients across the region. We have signed new large clients in the quarter, such as Carrentals.com, Online Shoes, and Travelocity. Moving now to EMEA, we continue to see solid growth across all markets driven by both the new and existing clients. During the quarter, we maintained very robust revenue ex-TAC growth of 51% year-over-year at constant currency. This is an acceleration compared to the 47% year-over-year growth at constant currency we had in Q3 last year. Our client base in EMEA continues to expand across markets, segments and verticals. In the quarter, we added new large clients including Ford, Openbank, and Sephora. Our enhanced Criteo engine, along with mobile and e-mail continue to drive incremental spend from existing clients. Moving now to AsiAPACific. We also continue to deliver very robust growth on a much larger scale than before. As you know, part of our strong growth in APAC over the past year was driven by the addition of Yahoo Japan prime display inventory in the third quarter of last year. This last quarter, revenue ex-TAC grew more than 70% year-over-year at constant currency and 18% sequentially. Higher adoption of our multi-screen solution and enhanced engine continues to increase spend from the same clients. New client additions this quarter in APAC included Airbnb, Hyundai Hmall, and MakeMyTrip. Overall, in APAC, we remain very excited by the opportunity to capture strong incremental growth through this fast moving region. We are currently launching a mid-market organization in Japan and see a great near-term potential in this segment. Before turning to our near-term priorities, I would like to cover some exciting updates relating to our senior leadership. Mollie Spilman joined us in August as our new Chief Revenue Officer. This in New York, she is responsible for leading all commercial operations globally. Prior to joining Criteo, Mollie had senior roles at Ad.com, Yahoo and Millennial Media. With Mollie on-board, we are benefiting from her exceptional experience combining digital media, performance advertising and mobile. More recently we announced the appointment of Mimi Gigoux as our Executive Vice President of Human Resources. Prior to joining Criteo, Mimi worked at various leading technology companies, including Apple, Extreme Network and Cisco. Based in Paulo Alto, Mimi had extensive experience in attracting and developing talents in fast growing global tech companies. Moving now to near-term, we plan to focus on three core priorities. First, leveraging our technology to keep on improving performance delivered to our clients, once again, performance is at the core of everything we do. While we continue to roll-out our enhanced engine to a full-time base, we are already working on the next generation. This new-new version of our engine will optimize not only on sales but also on each specific basket size. It’s already aligned with few data clients and the first results are very encouraging. Second area, we want to further help our clients to reach and convert their target customers wherever they are. In this perspective, we recently announced the launch of our cross device solution. This cross-device solution enables to match in return consumer shopping behavior as they switch from one device to another allowing the deliver relevant personalized ads at scale across different screens. In an increasingly fragmented digital world, we are so excited to empower marketers to seamlessly engage and convert their customers during their journey across multiple devices. We believe we are one of the very few companies in the world capable to do this at scale. Running out this cross-device solution across our large client base is going to be a key focus over the next quarters. Thirdly, we are still obviously very focused on our dual expansion. We plan to continue penetrating large clients and growing the mid-market extensively in all regions. Overall, we are committed to our long-term vision to be a major player in performance marketing. Before closing, I’d like to reiterate the four key reasons that makes our model so powerful and so unique. First, our solution captures in ROI time, high quality shopping intense data at unique scale. Second, our fully automated solution offers seamless access across all screens. Third, our CPC performance model is optimized for post click conversion. And finally, our direct relationships with clients and publishers are very high and stable retention rate quarter after quarter, ultimately reflects the unique value of our solution. We believe this key differentiators combined with the strong network effects of our model allow us to steadily improve performance quarter after quarter. In closing, we are very pleased with our record quarter of profitable growth. We increasingly benefit from a scale to quickly expand our position. Our obsession with performance combined with our steady technology improvements, is delivering more and more value to our clients. Given the enormous market opportunity ahead of us, we remain laser focused on execution. I look forward to updating you on our progress in the closing quarter of this already amazing year. With that, let me turn the call to Benoit, our CFO.
Benoit Fouilland: Thank you, JB. I’m also delighted to report another strong quarter today. I will walk you through our quarterly financial performance in detail as well as our guidance for the fourth quarter and the full year 2014. I would then open up the call to your questions. We delivered another record quarter of accelerated profitable growth, which exceeded our revenue ex-TAC on adjusted EBITDA expectation. I would start with our revenue for the quarter, which increased 71% or 72% at constant currency to €194.4 million compared with €113.8 million in the third quarter 2013. In the Americas revenue grew 92% in Q3 or 94% at constant currency to €58.6 million. In EMEA, Q3 revenue increased 57% or 56% at constant currency to €93.9 million. In Asia Pacific, revenue increased 78% year-over-year or 85% at constant currency to €42 million. As we have repeated in the past we consider revenue ex-TAC or revenue excluding the traffic acquisition cost based to our publisher, publishers as the key financial measure to evaluate and monitor our business performance. Our strong results in the quarter, reflects the continued rollout of our technology and products the steady growth in our client base as well as our success in growing our publisher base. Our global revenue ex-TAC grew 66% or 67% at constant currency to €77.6 million in the third quarter, compared with €46.8 million in the third quarter 2013. Our revenue ex-TAC margin in the quarter was 39.95% consistent with recent quarters. Looking at our performance from a geo standpoint, in the Americas revenue ex-TAC growth accelerated from 78% at constant currency in Q2 to 97% in Q3, to €23.1 million. In EMEA our revenue ex-TAC grew 52% or 51% at constant currency to reach €38.7 million. In Asia Pacific revenue ex-TAC increased 65% or 70% at constant currency to €15.8 million. Overall, foreign-exchange in the third quarter had less negative impact than in prior quarters, reducing year-over-year growth in earned revenue we expect by only approximately one point. Moving onto the profitability of our operations, we grew Q3 adjusted EBITDA by 71% year-over-year or 73% at constant currency to €19.8 million in the third quarter compared with an adjusted EBITDA of €11.6 million in Q3 last year. This strong increase in adjusted EBITDA is primarily the result of our strong revenue ex-TAC performance in the quarter. In addition, the seasonal slowdown in the pace of our aggressive recruitment plant during the summer, combined with the postponed signature of the lease for new facilities, also contributed to increasing our adjusted EBITDA this quarter. We up-scaled our recruitment effort to continue supporting our ambitious hiring plans. Looking now at our expenses for the quarter hosting and data cost increased by 87% to €5.1 million in Q3 excluding depreciation and amortization, driven by our increased investment in our own favors on hosting equipment over the period. As we’ve said in the past, we plan to continue investing in our own servers to support our current unanticipated future growth. Our OpEx increased 63% to €59.1 million in Q3 as we continue to scale the old Criteo organization to support our growing business. Excluding the impact of share based compensation function cost, depreciation and amortization and acquisition related the sale price consideration which we’ve referenced as operating expenses on a non-IFRS basis. Our operating expenses increased 62% to €52.7 million in the third quarter. Our global head count grew by 56% year-over-year to a total of 1,183 employees at the end of September, 2014. Looking at our operating expense by function, research and development expenses increased 38% year-over-year on a non-IFRS basis to €10.1 million in Q3. Our R&D expenses were largely driven by headcount growth to 231 employees at the end of the quarter partly offset by an increase in R&D tax credit compared with the prior year. As we continuously enhanced our technology platform and enrich our product portfolio we plan on continuing to invest in additional talent in R&D and products during the year particularly around our engine performance on our cross-device in app solutions. Non-IFRS operating expenses in sales on operations increased 64% to €31.4 million in Q3, also largely driven by the head count increase to 754 employees at the end of the quarter. Despite our slower recruitment pace during the summer this quarter, we continued to grow sales on account management teams in all regions in particular in our mid-market organization. We intend to continue growing our sales and operation teams in all geographies, both on the mid-market, on the large client side of our business. We also continue to invest in new facilities globally to accommodate our growing teams. Finally, our non-IFRS operating expenses, in general and administrative in the third quarter, increased by 71% to €11.1 million, while our G&A headcount grew 72% year-over-year to 198 at the end of September 2014. This continued to be driven primarily by an ongoing ramp-up in our HR teams to fulfill our ambitious recruitment plan the continued strengthening of our IT infrastructure as well as increase operating expenses associated with our public company live. While over 160% of our revenue expects over achievement flowed through adjusted EBITDA in the third quarter, I want to reemphasize our plan to continue investing in the fourth quarter to support our trend on future growth. Moving on to our cash generation for the quarter, our cash flow from operating activities increased by 6.8x to €25.5 million compared with €3.7 million in Q3 last year, driven primarily by strong adjusted EBITDA generation on a positive change in the working capital. Our CapEx increased 94% year-over-year to €11.2 million in the third quarter primarily as a result of our continued investment in hosting equipment, internal IT and facilities. In line with our plan our CapEx program continued to accelerate in Q3 compared with prior quarters in particular in hosting. We expect our total spend on CapEx for the full year to remain in the range of 5% of our revenues. Our free cash flow for the quarter was €14.4 million growing by €16.3 million year-over-year. For the first nine months of 2014, free cash flow generation reached €22.7 million or 48% of our adjusted EBITDA for the period illustrating the robustness on scalability of our financial model. Total cash, cash equivalent and short-term investments were at €256.7 million at the end of September increasing by €22.4 million compared with December 31, 2013. This is primarily the result of our free cash flow generation over the period as well as €20 million in profits from capital increases, offset by €19 million in cash considerations paid for the acquisition of Tedemis and AdQuantic earlier this year. I will now wrap up with our thoughts regarding our guidance. I’ll remind you that the following forward-looking statements reflect our expectation as of today November 4, 2014. We believe that our unique solution focused on performance served as a reliable and effective marketing solution to drive sales for our clients, particularly in times of economic uncertainty when the advertised are focused on maximizing the ROI of the marketing spend. For the fourth quarter 2014 revenue ex-TAC is expected to be between €89 million and €91 million. Also for the fourth quarter 2014 adjusted EBITDA is expected to be between €27 million and €29 million. For the fiscal year 2014 revenue ex-TAC is expected to be between €296 million and €298 million. At the midpoint this represents a €15 million increase when compared to our prior guidance. This would imply the 56% year-over-year reported growth at the midpoint of the range showing acceleration compared with the 57% year-over-year growth we reported in the fiscal year 2013. Also for the fiscal year 2014 adjusted EBITDA is expected to be between €74.6 million and €76.6 million. At the midpoint, this represents an €18 million upgrade to our prior guidance. This guidance assumes the following estimated foreign currency exchange rates for the fourth quarter, a euro-USD exchange rate of 1.26, a euro-Japanese yen exchange rate of 140, a euro-British pound exchange rate of 0.79 and the euro-Brazilian real exchange rate of 3.18. This guidance also assumes no additional acquisitions are completed during the fourth quarter 2014. We are confident as we enter the largest quarter of the year and we expect the fourth quarter as well as 2015 to continue to be very exciting times for Criteo. In the current quarter, we will continue to invest across our various strategic initiative to support our current growth on prepared for 2015, particularly in further strengthening our core technology, our multi-screen and cross-device solutions as well as growing clients across all geographies. In closing I’m very satisfied with our solid results in the third quarter driven by our focus on performance on the increasing benefit of our scale. We are enthusiastic about the progress we are making as we continue to enhance our technology and expand our product set to bring ever greater value to our clients. We see a very large market opportunity ahead of us and are focused on continuing to execute and deliver strong results for the remainder of the year and beyond. I look forward to continue building long-term trust with our public investors and sharing our growth story every quarter as we continue to realize our full potential. With that, I turn the call back to the operator now to take your questions.
Operator: (Operator Instructions). Today’s first question comes from Ross Sandler from Deutsche Bank. Please go ahead.
Ross Sandler – Deutsche Bank: Okay, great. Thanks, guys. I just had two quick little housekeeping questions and then, JB, like a high level question. So, on the housekeeping, can you guys just give us an update on how much of the client base and how much – what percent of the revenue is on the new Criteo engine at the end of the quarter? And then, Benoit, the APAC number also very solid, but I think you guys had called out last quarter or two quarters ago the impact from the Japan VAT tax change. So, maybe can you talk about comparing what you’re seeing in Japan versus other APAC countries? And then the last question, JB, you started off in the prepared remarks talking about how you went public about a year ago almost to this week, and at today’s close, shares are down $1.50 from the IPO level, yet you’ve raised your EBITDA numbers by about 65% in 2014. Two of your largest peers, Dotomi and Sociomantic, have been acquired for very healthy multiples. So, at a high level, what do you think investors are missing with your story, and what kind of message would you guys like to send in terms of your plans for 2015 to maybe recoup some of this investor enthusiasm around the story? Thanks.
JB Rudelle: Thank you, so I would address the first question about our engine. Our enhanced engine is now live with over 78% of our clients.
Benoit Fouilland: So, with respect to APAC, yes, I mean, we have experienced very robust growth in APAC during the quarter. And this is on a much larger scale. As you can see, we have now APAC for presenting 20% of our global revenue ex-TAC. And Japan, continues to be the lion’s share of this. Obviously there is one impact in Japan that is we’re just keeping in mind for this quarter is that last year we for the first time accessed to new premium inventorying from Yahoo Japan, and that obviously was in the base of Q3 last year as impacted to the comparable.
JB Rudelle: And coming to you third, your high level question. We’re indeed very happy to see the growth we had in the last 12 months. And all key indicators are trending all in the right direction. One of the most remarkable fact that we’ve seen is the growing gap where with our competitors that we are, we tend to grow much faster than most of them. So, we’re increasingly confident that we are on track to become this major performance marketing player that we’ve been pitching at the IPO time. And we’re very confident that the market is going to recognize this.
Ross Sandler – Deutsche Bank: Great. Thanks, guys. Nice job.
Operator: Our next question is from Richard Kramer from Heritage Research. Please go ahead.
Richard Kramer – Heritage Research: Thanks very much, a couple of questions. First of all, there seem to be folks in the industry questioning the long-term efficacy of retargeting, especially if some particular platforms seem to be trying to close off their dataset maybe for use by their own ad tech offering. Could you reflect on that as a medium term risk for the company, and whether you’re seeing the same thing? Second question is can you talk a little bit more specifically about how Criteo might be working with on-boarding to Facebook mobile, Facebook Audience Network? And maybe more broadly, can you be specific about the sort of inventory sources that you say you’ve added on this quarter? And maybe the third quick question, can you talk about the big increase in financial income this quarter and whether that’s going to be a feature of your adjusted EBITDA guidance going forward? Thanks very much.
JB Rudelle: Okay. So, I will address the first question, the first two questions, this is JB. And so, you mentioned we’re targeting I mean, just to clarify, this is where we’re targeting this is where we started the business a number of years ago. Today, our business is much broader than that. We are covering the full performance panel of our clients, which include – we’re targeting discovery and mid-funnel. We’re also expanding in terms of number of channels we used to be focused only on display, now we do display mobile, native and e-mail. So it’s much more diversified portfolio of products. This said, our historical product we’re targeting is still growing very, very nicely. It’s leveraging first party data and we have this unique technical integration that we’re with our clients, where we are deeply integrated into their platform. And this creates very sticky relationship. And we are very confident that as our numbers are showing in terms of client retention rate that those relationships are expanding over time. Regarding your second question, we are actually working with Facebook on the mobile piece of the inventory, what people refer to WCA. And this is an area we are confident that we’re going to be able to enhance progresses in the coming quarters.
Richard Kramer – Heritage Research: Okay.
Benoit Fouilland: Regarding the financial income, yes, you’re right. We had an exceptional impact this quarter which is primarily driven by the fact that we kept portion of the proceeds from the IPO in dollars. And we are the edge that with the cover that has been the end of the cover coincided with the moment where the dollars transcend. So we could benefit from transcending of the dollars, and Swiss euros. And that’s this impact that you can see primarily in the financial income of the quarter. This is I would say exceptional, we were just lucky by the timing of this increase in dollars while we were rolling our coverage. With respect to what we see future EBITDA guidance that we have expressed, I mean that EBITDA guidance doesn’t have any components from financial income included in it.
Richard Kramer – Heritage Research: Okay, that’s very clear. And could you – maybe as a last point, could you talk at all about what sort of contribution e-mail might have provided this quarter, if it’s material at all? Thanks.
Benoit Fouilland: We don’t break down our revenue there on top of products. And we are, we don’t have this massive investment to scale the e-mail platform that we acquired to roll this across all our deals. And we believe it’s going to be one of the strong growth drivers for next year. And we are very excited by ability to disrupt the e-mail market, where we’ve been disrupting the display market same type of business model and same type of value proposition.
Richard Kramer – Heritage Research: Great. Thank you.
Operator: Our next question comes from Ralph Schackart from William Blair and Company. Please go ahead.
Ralph Schackart – William Blair & Company: Good afternoon. Just focusing on the U.S. market for a second, it showed significant acceleration with a 97% growth rate, which is obviously much higher than the acceleration you saw in Europe. I know that U.S. is coming off of a small euro base, and I think you called out mid-market clients on the call. But, it was such a standout metric, just curious if there’s anything else sort of unique about the U.S. market and sort of how you’re thinking about that market maybe going forward. Thank you.
JB Rudelle: Yes. I mean, you were right to mention that U.S. is coming from a much smaller base. I mean, if you look at the total potential of the U.S. market, it’s close to 50% of the global market between 40% and 50%. And today Americas is still much lower percentage of our revenues. So there is, significant catch-up elements in this acceleration of the growth in the U.S. Also the U.S. is very large market where it takes more time to get to the critical size. And critical size matters a lot in an industry where there is a strong winner takes all dynamic. And once we reach this critical size which was roughly a year ago, we saw that we were getting the benefit of this critical size to leverage this winner takes all dynamic that would be ongoing in other regions. So you have this combination of these two effects about very large potential addressable market. And us getting to a stage where we have much more buying power in the U.S., much more liquidity on our platform, much bit awareness, but much more word of mouth of our successful clients to their peers and all of these elements are helping the business to accelerate.
Ralph Schackart – William Blair & Company: Okay, great. I appreciate it. Well done.
JB Rudelle: Thank you.
Operator: Our next question comes from Brian Fitzgerald from Jefferies. Please go ahead.
JB Rudelle: Brian.
Operator: Please ensure that your mute button is depressed, so as we currently can’t hear you.
Brian Fitzgerald – Jefferies: Hello.
JB Rudelle: Yes, we can hear you.
Brian Fitzgerald – Jefferies: Sorry guys, I was on mute there. I had a couple of – maybe a follow up to the U.S. comments. As you look at the growth there, you’ve had nice additions from car rentals to Travelocity. Any color on the verticals where you’re seeing particular traction and strength? And then, when you look at the preferred inventory in U.S., how would you juxtapose that to the type of preferred inventory that you see in Europe? And then I have one follow up.
JB Rudelle: So, in terms of vertical we see very good traction pretty much all across the board. So, in early days we’ve done this like in any country we intend to be a more concentrated in the U.S. than we were in Europe. But now as U.S. is getting bigger and bigger, we hear an expanding set of type of clients, which is the same pattern that we’ve seen happening in Europe, where from a base of highly concentrated customer base in retail, we’ve been expanding into travel, into real-estate, into automotive, into job boards, into telecom. And this is happening in all our geos as they are getting more and more mature. And we have bigger sales team with more expertise across the board. And anyway, the same story on the inventory side, where the more buying power we have, the more direct deals we can negotiate with publishers and negotiate better conditions. And same story in the U.S., now we’re getting to the critical side where our buying power is getting very strong. And we are in a much better position that we were 12 months ago to negotiate preferred partnership with big publishers in the U.S.
Brian Fitzgerald – Jefferies: Great. And then, just to follow up on the same point in the Americas, in the U.S., you’ve mentioned before a majority of your revenue ex-TAC is uncapped budgets. Imagine it’s the same for the U.S. and the Americas as you grow there. Any update on dynamics you’re seeing there? And is there any gating factor in terms of tapping into those budgets even deeper?
JB Rudelle: I mean, absolutely. We see this pattern of uncapped budgets across the board, in all our geos. And it’s coming from the same driver is because, at the end of the day they’re all looking at ROI whether on Europe or in the U.S. And I think this is particularly important as we enter the holiday season. As you know, the holiday season is particularly important in the U.S. compared to other countries where it’s less pronounced. So having negotiated, pre-negotiated those uncapped budgets in the U.S. was absolutely critical before entering the holiday season.
Brian Fitzgerald – Jefferies: Great. Thanks, JB.
Operator: Our next question comes from Charles Bedouelle from Exane. Please go ahead.
Charles Bedouelle – Exane: Good evening, everyone. Congrats for your fantastic results. Two questions, if I may. The first one is investors talk a lot about mobile, the changes it brings to a company like yours. You’ve made a recent announcement on cross-device. Can you expand a little bit more maybe the hurdles or the constraints you are maybe facing today from inside and outside the company, and how you see that things are evolving in mobile? And the second question, slightly more tedious, is can you just give us an idea of the contribution of acquisition to revenues this quarter, please? Thanks.
JB Rudelle: So, on mobile and I would say cross-device which is the two topics are very intimately related obviously. When it comes, as we said major trend that we’re seeing in the industry in general, which is a big concern for marketers is the fragmentation of audiences across multiple devices and screens. And the challenge is that the tracking system that was in place in the early days of the desktop only world was cookies. And cookies are well then emitted. So they are not very good tracking system when it comes to cross-device. So, to factor this we had to rebuild the whole of cross-device Criteo IV. And this is something we’re very excited about and that we could do only because we have the scale that we have now with our 6,000 plus advertisers, 8,000 plus publishers. And this is why we can have this unit of Criteo idea solving this early problem around cross-device matching. Acquisition, I assume you, the question is around EMEA?
Benoit Fouilland: No, I mean, as you know we don’t break down the contribution of acquisition. But what we can confirm is that EMEA was in line with our expectations this quarter.
JB Rudelle: Absolutely.
Charles Bedouelle – Exane: Okay. Thanks very much. And just a quick follow up question. You’ve had, obviously, fantastic success in Europe. The U.S. now is getting very strong, and Japan obviously last year. Where do you see the biggest next milestone in terms of, I would say, the new markets or call it emerging market? And where do you see that first and where do you see the most potential today? Thanks.
JB Rudelle: Well, today we have a truly global footprint. We cover the EMEA, we cover America, we cover A-Pac it’s pretty much the whole world. And these are big regions where within those regions we have, with also new emerging countries like part of EMEA, we have Russia, which is a relatively new country for us where we see a lot of growth potential. In A-Pac we have a lot of new countries emerging. Very interesting things coming from Southeast Asia, for long time these were very small. And now we start to see very healthy growth in this area. So, based on our three big hubs, now we see a much more diversified contribution of growing number of countries to our overall numbers.
Charles Bedouelle – Exane: Thanks very much.
Operator: Our next question is from Douglas Anmut from JPMorgan. Please go ahead.
Kaizad Gotla – JPMorgan: Great. Thanks for taking the question. This is Kaizad Gotla in for Doug. I was wondering if you could just help us think about what kind of increase in spend you might see from clients adopting cross-device tracking? And then, can you just update us on how many clients are using your mid-funnel products? And finally, was Travelocity live and running in 3Q? Thanks.
JB Rudelle: So, clients who don’t have specific budget for cross device. At the end of the day, what they want is to maximize the opportunity to engage in converge users. So, cross device provides two very interesting things. One is the ability to increase the reach with the same user, now you can match in on different devices, so you have more opportunity to reengage with this user. So, think about this as expanding our inventory, very smooth way and with very, with almost no friction and no need to re-discuss with the clients the budget because we are as you know an uncapped budget. It has also a second very exciting features, is that you can now attract conversions on the different device than the original marketing channel so usually many more conversions. And it makes the ROI calculation much-much rate also flat lines. And at the end of the day, whatever the spent with that is based on the ROI calculation. So, the ability to have a much more precise and holistic view of ROI is also the opportunity for them to spend more on the platform. But we had very, very cool two combined values directly plugged into our system. What was the second question again?
Benoit Fouilland: Update on mid-funnel client adoption by trend.
Kaizad Gotla – JPMorgan: Yes.
JB Rudelle: The funnel, yes. Our clients they look at maximizing the opportunity to go after the user. So we are offering this good solution combining mid-funnel and lower funnel. And the two of them combine very well together. And a same business model similar like tradition typically on this funnel clients are willing to be a more aggressive in term of ROI calculation because those users are a bit more challenging to bring on the platform. But it creates a lot of additional business for them. And the two products combine very well together.
Kaizad Gotla – JPMorgan: And was Travelocity live in 3Q?
JB Rudelle: Travelocity, yes, it’s one of our new clients. I think we’re getting to the end of the one hour, so one last question.
Operator: Our last question comes from John Egbert from Stifel. Please go ahead.
John Egbert – Stifel Nicolaus: Thanks for the question. Just digging in a little more on the cross-device tracking solution, I know it’s pretty early, but do you have a feel for how your offering stacks up with competing offerings from other players in the space? Specifically, how do you think your proprietary identifier compares to like a people-based marketing solution from a Facebook, for example? Thanks.
JB Rudelle: I think this part is not competing with Facebook, it’s complimentary. Facebook identifier is great for Facebook inventory. And we work very nicely within, into this area. But there is, there are many other publishers that are on Facebook. And obviously for them, you need an identifier. So I think the two things are very complimentary.
John Egbert – Stifel Nicolaus: Okay, thanks.